Operator: Good morning, ladies and gentlemen, and welcome to the Aimia, Inc Third Quarter 2023 Results Conference Call. [Operator Instructions]. This call is being recorded on Tuesday, November 14, 2023. I would now like to turn the conference over to Albert Matousek. Please go ahead.
Albert Matousek: Thank you, Colin, and welcome, everyone, to this morning's call. Today's presentation is available on SEDAR plus and on our website. Before we get underway, I would like to remind everyone to please review our forward-looking statements and the cautions and risks factors pertaining to the statement. My name is Albert Matousek, Head of IR and Communications. With me on the call today are speakers Phil Mittleman, Aimia's CEO; Michael Lehmann, our President; and Steve Leonard, our CFO. Phil will begin with our strategic highlights, followed by Michael who will cover the performance of our investments, and hand the call over to Steve to walk us through the results of the quarter. We'll have time for your questions at the end. With that, let me hand it over to Phil.
Phil Mittleman: Thanks, Albert, and good morning to everyone on the phone and webcast today. I'm pleased to report strong performance by both Bozzetto and Cortland in the third quarter. Their combined adjusted EBITDA of $17.4 million is a testament to the underlying strength of each of those businesses and their excellent management teams. I'd like to focus my comments on some recent highlights at both with both Bozzetto and Cortland. Last week we announced Bozzetto's planned acquisition of Starchem, a specialty chemicals producer. This is a critical step towards the company's expansion into the Americas, which has been an important component of our investment thesis. Bozzetto has signed a definitive purchase agreement to acquire 65% of Starchem for $25.1 million with a potential earnout of an additional $12.5 million based on EBITDA targets. The Starchem management team will retain a material minority position of 35% and will continue to operate the business in partnership with Bozzetto. We expect Bozzetto to generate approximately $48 million in revenue in fiscal year ending December 31, 2023, with an EBITDA margin of approximately 12%. Starchem is at the forefront of the specialty chemical solution industry in Honduras, which is one of the world's largest textile producing markets. Starchem serves major US ship manufacturers such as looms, panes, and . It's facilities have an installed production capacity of 20,000 metric tons annually with room to expand. Starchem with a reputation for excellence has been in business with Bozzetto since 2013. From a strategic point of view, Starchem will serve as a platform for Bozzetto to pursue further growth opportunities in the Americas. We believe Bozzetto's ESG-focused chemical solutions will be well received in the Americas, both in the textiles vertical and its other verticals, dispersion solutions and water solutions. Starchem's manufacturing capacity and proximity to target customers will enable Bozzetto to service new customers throughout the hemisphere. We viewed expansion into the Americas is a top priority for Bozzetto, which is already a leader in selected European and Asian markets, and we are very excited about the new opportunities that Starchem will drive. This transaction is perfectly aligned with our strategy to grow our portfolio companies by helping them identify and finance accretive and synergistic acquisition opportunities, allowing us to build a world-leading businesses for our stakeholders. The business case for Starchem is similar to the Tufropes purchase of Cortland Industrial. We have already seen early success with the combined organization now operating as Cortland International. Let's move on to Cortland's recent highlights. Under the Cortland International brand we recently appointed a new leadership team that is well positioned to steer the business towards a bright future. Stuart Janke, our new CEO, brings over 35 years of global experience in the synthetic rope industry. Having worked in diverse markets across Asia, Pacific, and Australia, and having led partnerships in China, India, and Southeast Asia, Stuart's insight is invaluable for our continued global expansion. Brian Pettipas, our new CFO, brings insights from a career spanning a variety of sectors including a long track record of success in private equity. Their collective experience and dedication along with that of their colleagues is already making a significant impact, evidenced by the smooth integration of Tufropes in Cortland. As outlined at our recent Investor Day, the Cortland team has identified specific market opportunities in various global sectors. The combined entity offers a unique value proposition of high quality cost-advantaged manufacturing from the Tufropes side in global technical leadership from the Cortland side. We're making strides in enhancing our presence in high performance synthetic fibers and custom solutions across ropes, slings, and tether segments. We expect synergies to generate substantial value and we're eager to see these developments unfold in the coming quarters. Mike will provide further details on the performance of Bozzetto, Courtland, and our other investments in a moment. Before turning it over to him, I'd like to comment on some other important developments at Aimia. In October, we completed a private placement that raised gross proceeds of $32.5 million to support our continued growth. Concurrently, we welcomed two new esteemed members to our Board of Directors, Thomas Finke, and Yannis Skoufalos, both of whom are independent and bring with them a wealth of success and knowledge from Fortune 500 company leadership. Thomas Finke, our new Chairman, expanded the Board expertise with his vast experience in finance and governance. Yannis will enhance the Board's expertise with his three decades of experience in supply chain management, procurement and logistics. This continued Board rejuvenation signifies Aimia's unwavering commitment to bolstering our leadership capabilities, ensuring robust governance, and creating shareholder value. And with that, let me turn the floor over to Mike to provide you with some further updates on our investment portfolio. Mike?
Michael Lehmann: Thanks, Phil, and good morning to everyone. I'm now going to walk you through the operating performance of each of our businesses. First, let's start with Bozzetto. Bozzetto reported robust revenues of $75.9 million, reflecting the strong demand and operational excellence that they've achieved over the past quarter. Gross profit for the quarter adjusted to exclude depreciation and amortization amounted to $20.4 million or 26.9%. This strong margin performance was due to the effective yield management which focused on product mix and procurement. Perhaps the most indicative of the operating efficiency was Bozzetto's adjusted EBITDA which came in at $11.7 million. This represents a solid EBITDA margin of 15.4%, underscoring Bozzetto's profitability and the team's ability to manage costs effectively in the face of modest headwinds, largely due to geopolitical uncertainty. Turning our focus to Cortland International. Cortland brand is synonymous with excellence in technology, driven synthetic ropes, slings, and tethered products. For the third quarter, Cortland International delivered strong financial results. The company recorded revenues of $38.4 million with a gross profit excluding depreciation and amortization of $9.7 million or 25.3%. For the quarter, Cortland recorded an adjusted EBITDA of $5.7 million. This translates into an adjusted EBITDA margin of $14.8 million -- 14.8%. While healthy, this margin is lower than our expectations due to the integration of Cortland industrial which, at the time of acquisition, was generating a lower EBITDA margin of around 10%, as well as some short-term market pressures due to various regional economic factors impacting volumes and pricing. While we see some challenges associated with the current market conditions that may continue into Q4 this year, we remain optimistic that the combined business will achieve adjusted EBITDA margins of 20% over the next two years. Moving on to Clear Media. Clear Media maintained steady performance in Q3 2023, with revenues of RMB210 million in line with the results from Q2 2023 and an increase of 12.9% over the same quarter last year. While an improvement over the same period last year, we're still waiting for the sluggish Chinese economy to rebound in order for this business to meaning6fully improve its operating results. Moving on to Kognitiv. In the third quarter, revenues from continuing operations was $11.5 million, up $300,000 from the prior year. Adjusted EBITDA from continuing operations was a loss of $4.3 million, a significant improvement from the loss of $7.2 million in the prior year and a sequential improvement from the $5 million loss in Q2 2023. Kognitiv has enjoyed a recent strong influx of new business opportunities and client engagements, reflecting the positive reception of its new product offerings, including its AI-powered Kognitiv Pulse, which enables global brands to design, build, and manage their loyalty programs. Next up is Capital A. Capital A recorded strong airline operating results in the third quarter of 2023, achieving close to 50% growth in passengers carried, while seat capacity grew close to 45%. On November 1, as part of the PN 17 regularization plan, Capital A announced an LOI to sell brand Air Asia, the registered proprietor of Air Asia brand and Fleet Consolidated Limited, the entity responsible for procurement and leasing of aircraft for an indicative equity value of USD1 billion to a stack of cerium on the Nasdaq. Shares of Capital A have performed very well and have climbed 32% year to date. Aimia owns approximately 3% of the outstanding shares. Moving on to TRADE X. Aimia recorded a non-cash impairment of $36.2 million related to its holdings in convertible preferred shares, warrants, and convertible notes in TRADE X. This impairment was driven by recent poor financial performance and trade financing challenges which led to a restructuring of the business. This includes the planned divestiture of its wholesale express subsidiary, the reorganization of the international auto trading business under its subsidiary, and advancing new business ventures such as the electronic vehicle distribution project discussed at our Investor Day. And with that, let me turn it over to Steve to take you through the financial results. Steve?
Steve Leonard: Thanks, Mike. We ended the quarter with $42.5 million of cash, of which $26.8 million was held in Bozzetto, $6.5 million in Cortland International, and $9.2 million in the holding segment. Aimia also ended the quarter with $45.2 million in liquid securities. On a pro forma basis, with net proceeds from the private placement, we have $72.9 million of cash. As we mentioned earlier, the planned acquisition of Starchem by our Bozzetto subsidiary is expected to be financed primarily with debt when this transaction closes in the next 30 to 60 days. We continue to work towards obtaining financing at Cortland International business. Efforts have been delayed due to the uncertainty caused by shareholder activism. Now let me turn to the operating costs of the holding segment. During the third quarter of '23, the holding segment reported a loss before income taxes of $28.8 million, mainly related to a negative net change in fair value of investments of $25.7 million. The fair value change included the unrealized fair value loss of $36.2 million on the company's investment in TRADE X. Selling, general, and admin expenses amounted to $7.4 million, up $2.1 million versus the quarter in the same period last year. The increase was primarily due to legal and advisory related fees associated with the response to shareholder activism. And with that, let me turn it back over to Phil to wrap up with a few concluding remarks. Phil?
Phil Mittleman: Thanks, Steve. I would like to take a moment to address the takeover bid for our company and the related activist activity. I know that many shareholders are concerned about the impact it may have on our business, our share price, and our ability to continue to generate shareholder value. As you know, we have been approached with a hostile takeover offer from Mithaq. In response, our Board backed by the recommendations of an independent special committee has unanimously advised our shareholders to reject this highly conditional unsolicited bid for many reasons that are outlined in our Directors' Circular, some of which I will touch on here. Let me put this into context. Aimia has been on an upward trajectory, successfully generating over $750 million from liquidity events since 2020, and redeploying nearly $700 million of that through strategic acquisitions. We are clearly poised for growth and are committed to enhancing shareholder value, a commitment that would be derailed and compromised by Mithaq's self-interested takeover bid. Mithaq's offer not only undervalues Aimia significantly, but their approach also contradicts the investment strategy we have established. They offer no credible investment strategy of their own, nor do they have any discernible investment track record. They have not put forward a management team or proposed any Board members. Their bid has been a distraction that would deny you, our shareholders, the full benefit of your investment at the precise time it is beginning to bear fruit. Aimia's stock performance, which has been depressed and undermined by Mithaq's tactics, does not reflect the company's true value or potential. We've been clear about this in our Directors' Circular and encourage all shareholders to review it thoroughly on our website. We are not standing still in the face of these challenges. We've acquired three companies since the beginning of the year and signed an agreement to acquire a fourth with more in progress. We fortified our Board with seasoned leaders like Thomas Finke, our new Chairman, who brings over 30 years of asset management and investment experience; and Yannis Skoufalos who brings decades of operational experience at Fortune 500 companies. Their experience along with that of our other distinguished Board members is crucial as we navigate through this period and continue to steer Aimia towards its strategic goals. In the face of this adversity, we've also had to expend significant resources to address what we believe are Mithaq unlawful tactics. We're ready to prove these allegations in court from January and fully expect to showcase Mithaq actions for what they are. Their bid replete with 20 conditions satisfied at their sole discretion is designed to further their agenda, not Aimia's, and not that of our shareholders. Let me be clear. Aimia's value should not be judged by temporary market conditions, but rather on our investment strategy and the strong portfolio we continue to build. To further validate the quality of these assets, we have welcomed a number of new sophisticated investors who support our vision by successfully raising capital through a private placement, further strengthening Aimia's position. All that being said, it still doesn't clearly answer the question so many asked me. With all these great things happening, why is the stock so low? For starters, no one likes a messy battle. It needlessly depletes resources. It distracts management. It deters new and existing shareholders from increasing their positions. It also drives people to the sidelines. I've been told by numerous investors that I'd love to buy X million shares but I don't want to wake up and find out I'm trapped in a company run by Mithaq. So I'll come in when that's resolved. That's the essence of why our stock is where it is. While our strong roster of long-term investors who have steadfastly supported us throughout this ordeal, many are waiting on the sidelines for its resolution. We believe that time is near and are working hard to get there as soon as we can. And to add insult to injury, we can't buy back our stock as we would normally be aggressively doing, because our financing of Courtland was derailed by the same uncertainty. So it's a perfect storm and that equates, at least in the short term, to a low stock price. But that can change very quickly when the fog is lifted and we expect that it well. We stand firm in our conviction that rejecting Mithaq offer is in the best interest of all shareholders. We are here to build value, not to surrender it, and we will continue to act in the best interest of Aimia and its shareholders. Our Board unanimously recommends that shareholders reject the hostile offer and not tender their common shares. You don't have to do anything to reject their offer. You simply do not tender your shares. At this point, we're happy to take questions call.
Albert Matousek: Colin, that concludes today's prepared remarks. Please go ahead and prompt for questions.
Operator: [Operator Instructions]. Your first question comes from Brian Morrison from TD Securities.
Brian Morrison: Yes, good morning, guys. First question on Cortland. It sounds like perhaps the incumbent business pre-Cortland, it's running a little bit below expectations. I think you said maybe it was macro or maybe there's some internal issues going on there. But maybe just comment upon that. And what gives you confidence that your guidance that you gave back at the Investor Day for '24, '25 still holds?
Steve Leonard: Hi, Brian. Steve Leonard. Yeah, we acquired Cortland when we announced the transaction. Their margin was around 10% compared to the Tufropes business that we had been guiding around . With any business, the first quarter of integration and we didn't have a full quarter there. There are some lumps in the quarter. But we're still holding to the guidance that we gave relative to the two businesses at Investor Day. We had a strong -- overall, the volumes at the Tufropes business were 10.5 metric tons, which is in line with the volume that we expected to sell over a full year basis. So overall, it was a solid quarter for the combined business.
Brian Morrison: Okay.
Michael Lehmann: Hey, Brian, it's Mike Lehman. Just to add to that. Some of the global geopolitical headwinds that we're seeing in the US, throughout Europe, throughout Asia, are hitting Tufropes a little bit. There are some degrees of a lack of confidence in 2024 and potential recessionary environment, even if it's a soft landing like environment, which are causing people to order just a few percent less than we would have typically expected. So that's what we're really referring to when we talk about some minor headwinds.
Brian Morrison: Okay. Thank you. When I look at the progression of funding, you require -- I'm specifically talking about Cortland. Do you require resolution upon the litigation or are you able to potentially proceed with your recent financing? Are you be able to potentially proceed with funding of that? And then you mentioned an acquisition forthcoming. Can you give us the -- not details, but size of magnitude and how that would be funded? Would it be by the or would it be at the operating level?
Phil Mittleman: Hey, Brian. It's Phil. So I think, yeah -- first of all, with regard to your second question, the new acquisition is roughly twice the size of Cortland, and it's with much higher margins. So that's the kind of target size we're looking at as the next acquisition. In terms of the funding of Cortland, I think, lenders want to know who they're lending to. And I think that when the financing originally fell apart, there really wasn't much hope. It looked kind of like an untenable situation. It was very messy. I think the smoke starting to clear a little bit. So we're trying to revisit that and where we're going to re-approach lenders. So we don't have an answer yet except to say that the smoke is starting to clear a little bit. I think people are getting more confident, especially with this new investor base and our new Board members that we will succeed in maintaining control, and so that would give comfort to some lenders. So we're optimistic, but we don't have anything in hand yet.
Brian Morrison: Okay, and sorry, the acquisition that you just commented twice the size of Cortland, how would that be funded?
Phil Mittleman: Well, again, that's all tied together. We would be pursuing lenders and we would expect that that would be part of a lending package. So stay tuned on that. Also, we just raised a significant amount of capital, and so we would -- it's a balancing act that hopefully could be part of a larger funding.
Brian Morrison: Okay.
Steve Leonard: The plan really to fund it out of the -- at the subsidiary level. I think there was another one of your questions.
Brian Morrison: Yeah, that's where I was going with it. Okay, and then, Phil, just last one on Kognitiv here. Sounds like you're making progression on your non-core assets, maybe where that process stands, and I know that you had mentioned you're entertaining some phone calls. Just an update on the process on Kognitiv.
Phil Mittleman: Kognitiv has gotten pretty exciting. So first of all, there are completing an equity raise at a very strong valuation. We can't disclose it, but I think you'd be very happy with it. Those incoming calls have evolved into some pretty serious discussions. So there's more than one opportunity on the table that could create a liquidity event for Kognitiv. So it's become an exciting story. It's becoming a -- rather than a survival story, it's becoming a growth story now and an exciting one. So stay tuned, but I think things are heating up there and we hopefully will have some news maybe in the next quarter.
Brian Morrison: All right. That's all for me. Thank you.
Phil Mittleman: Thank you.
Albert Matousek: Thanks, Brian. Before we continue to other questions, I'll be addressing some questions that we received from investors by e-mail. So the first question is, what more can you tell us about the new investors who participated in the private placement?
Phil Mittleman: Well, I'll tell you that. You've seen two of them. You've seen Thomas and Yannis who are fantastic additions to our Board. And I would say I think it's a really big and important testament to Aimia's value and our strategy that these people have come in such a situation. I mean, usually you are in the middle of it, an ugly battle with an activist, people stay on the sidelines. These people dove in head-first and bought a significant amount of stock and obviously joined the Board and in our investor roster. And while I can't identify the list of investors, I will tell you that it is the most incredible group of investors I've ever seen assembled in an investor . So I think that they're -- not only do they provide cash, they provide a lot more than cash for Aimia, and we're going to get a lot of benefit from their participation. So I think we're very, very happy with that strategic group of investors, and I think it will be a tremendous long-term benefit for Aimia.
Albert Matousek: Thanks, Phil. Our second question we got is, are you expecting any upside on the existing stock and business that is generating $48 million in sales and 12% EBITDA margins, or is the rationale primarily about bringing Bozzetto products to new markets?
Phil Mittleman: Yeah, no, we see a lot of upside in both of those aspects of the acquisition. I think we timed this acquisition very well. Just because of the macroeconomic situation in textiles, we saw that their sales and EBITDA down dramatically right before we made this acquisition. So we see a lot of upside in the company's EBITDA. We see a lot of opportunity in terms of synergies. But most importantly, we see a tremendous upside in this company's ability to distribute and produce Bozzetto's products to a very large new market that Bozzetto previously had never been able to sell into. So it's a very exciting acquisition. It's transformational and we're very excited about.
Michael Lehmann: If I could just add on. So as Phil said, the chemical solutions within Bozzetto, they're currently manufacturing and distributing all across Europe and Asia. They're also in great demand in other geographies, and they just haven't distributed into those geographies because they didn't have a manufacturing base. We now do have the manufacturing base. So the Americas platform is the next phase of growth within Bozzetto. The company has been a very significant player supporting the textile industry within the ESG focused specialty chemical solutions sector, and this is going to be a primary initial focus at Starchem. But we see numerous opportunities to expand into adjacent sectors within both dispersion as well as water solutions into subcategories like personal care consumer products, very, very, very large sectors within North America that to date use products that we manufacture, but they just don't use Bozzetto's products yet because of the manufacturing geography. So that's going to open up a whole new world for us.
Albert Matousek: Thanks, Michael. Another question that just came in, can you comment on the change of management at Courtland?
Phil Mittleman: Sure. This was always planned. Our previous CEO had been interim. Our CFO had been interim. And we've been looking for a new management team since we started pursuing the acquisition, and when we found Cortland -- Courtland came with some really strong management. And so we were very happy to tap into that. And we had found Brian there through research, and we found Stuart through obviously our transaction with Courtland. So that was a natural progression. It was something we were always planning on and we're very happy with the way it worked out.
Albert Matousek: Thanks, Phil. Colin, are there any other questions?
Operator: Sebastian Vargas, Jefferies. Unidentified Audience Member  This is . Just following up on the Cortland -- can you talk a little bit about just kind of the integration process at this point? At what point would you see what I would call kind of a more integrated one salesforce approach? And just any commentary on longer-term revenue synergies here.
Steve Leonard: Yeah, I'd say, and I'll let my colleagues add as well, , so we acquired them on mid-July. We've made the management changes. There has been structural changes within the team in terms of the organization and especially on the go to market strategy as well as the rebranding. You'll see that we've rebranded the entire business. So we're expecting, Surinder, to start seeing some of that going into the fourth quarter, but more in '24, I would expect to see a substantial traction on the sales side. And some examples. So Cortland Industrial, the company that we acquired was a highly engineered business dealing with very sophisticated buyers. And they also purchased, let's call it more lower end value ropes and tethers and these things. But they were purchasing them from other suppliers in Asia, et cetera. So there's a synergy there because now the combined business can offer those products to that market, those customers, of course, and industrial. And then likewise on the Tufropes upside, there was a distribution network, export network where, again, a lot of those customers were buying what Courtland provides, which is very good high quality. But they weren't necessarily buying the more sophisticated products, that are laying -- that are required for specific applications, heavy loads, et cetera. So those are the things we're seeing as well as production. The other element is production. So we've mentioned when we acquired Tufropes that there's our capacity available with our plants in India, and we're looking to utilize the excess availability of capacity.
Phil Mittleman: Hey, Surinder, it's Phil. So also I think I would say the top of the list of the to-do list has been recruiting and enhancing the sales force and targeting the highest margin areas. So we're in the process of prioritizing and focusing their sales efforts where it really matters and getting -- I think Stuart's background comes from sales. And so that's a major focus is getting both the product portfolios and catalogs cross-sold, but also sold into new markets together. So that's a big focal point for '24. Unidentified Audience Member  Got it. And then maybe turning to Bozzetto here and the Starchem acquisition, just any comment on the Starchem margins, which are a bit below the Bozzetto margins, and just how you think about this longer term as you think about integrating all of the other kind of stuff?
Michael Lehmann: So it's Mike. Hi, Surinder. So yeah, the EBITDA margins are currently about 12% versus to 500 basis points above that for Bozzetto, which is typical. There are a few things there. The chemical solutions that Bozzetto makes are higher margin and greatly in-demand products. So we are going to -- as we shift that product line, let's just call it for separation for discussion purposes, that is immediately going to add to the EBITDA margin, just through the combination of higher margin products going through. Historically Bozzetto has been more efficient in their ability to procure product going into their specialty solutions. So we feel that even just separate from mix-shift within Starchem, we'll be able to increase the EBITDA margins across the board. In addition, as I mentioned, there are numerous opportunities to expand into adjacent sectors. Within Honduras, and Central and South America, it's a huge manufacturing base for textiles, T-shirts, and the like. We also, through Bozzetto, have the ability to manufacture goods that go into other products other than textile. So what we're planning on doing is expanding the manufacturing base down there and using that manufacturing base as a platform, as a jumping off, as a springboard if you would, to get those chemicals into North America, into other things like personal care, like consumer products, into other adjacencies that are very large and have the capability to make this much more than a textile oriented company, Starchem, and have the ability to be much more well-rounded and be able to serve many other sectors than what they produce now, which is primarily the textile industry. Unidentified Audience Member  That's helpful. And then just maybe another quick one here, just on Clear Media. I guess how patient are you willing to be in terms of just waiting out the situation in the turnaround in that business? Or is there potentially an exit strategy where maybe that capital could be better allocated elsewhere in the near-term, if you are able to monetize whatever you can?
Phil Mittleman: I mean, I think we've been patient for the right reasons and then the delays in the company's execution of their plan have been no fault of their own. As you know, it's been zero COVID surviving, for two years of zero COVID is somewhat miraculous that they did this without damaging the equity value of the company, and they've managed to fine-tune the model and to shed the bad leases, et cetera. So we definitely do not want to exit this before harvesting all that. That patience has been expended and we're now at a position where we can see this thing really grow and be turbo-charged into any type of economic recovery. So it's hard to predict in a macroeconomic trends and when a company is going to recover. But I would not bet against this group. We've got JC to co the leader in the business, ready to go, and aggressively wants to support and pursue the strategy here. So I think we're going to remain patient and we're going to hold us to set some type of monetization event. And we definitely don't want to miss out on what's to come, because having waited this long, it's not the time to abandon ship. It's the time to be optimistic and hope that that recovery is coming and that we're going to reap the fruits of the waiting, and this amazing partnership group behind it. So we'll remain patient. Unidentified Audience Member  Got it. That's it for me. Thank you.
Phil Mittleman: Thanks, Surinder.
Steve Leonard: Thanks, Surinder.
Operator: There are no further questions at this time. I'll turn it back to Albert for closing remarks.
Albert Matousek: Well, thank you very much. I would like to thank everyone for joining us on today's call and webcast. Have a great day.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.